Operator: Good day, everyone, and welcome to the Lululemon Athletica Fourth Quarter and Fiscal 2008 Earnings Results Conference Call. This call is being recorded. Following formal remarks, we will conduct a question-and-answer session. At this time for opening remarks and introductions, I’d like to turn the call over to Jean Fontana of ICR. Please go ahead, Ms. Fontana.
Jean Fontana: Thank you. Good afternoon. Thank you for joining Lululemon Athletica’s conference call to discuss fourth quarter and fiscal 2008 results. A copy of today’s press release is available in the Investor Relations section of the company’s website at www.lululemon.com or, alternatively, as furnished on Form 8-K with the Securities and Exchange Commission and available on the Commission’s website at www.sec.gov. Today’s call is being recorded and will be available for replay for 30 days shortly after the call on the Investor Relations section of the company’s website. Hosting today’s call is Christine Day, the company’s President and Chief Executive Officer, and John Currie, the company’s Chief Financial Officer. Before we get started, I’d like to remind you of the company’s Safe Harbor language. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC. Now, I would like to turn the call over to Christine Day, Lululemon Athletica’s Chief Executive Officer.
Christine Day: Thank you, Jean. Good afternoon, everyone. Thank you for joining us to discuss our fourth quarter and full year results. Following my opening remarks, I will turn the call over to John, who will go through the financial details of the quarter. We are pleased to announce that we have met our earnings expectations, particularly in light of the current economic environment. The weak consumer sentiment and overall macro picture continues to weigh heavily on retailers, and we are certainly not completely immune to its effect. That said, we have been nimble and creative in responding to the slowdown in consumer demand, while protecting our brand integrity. Our positioning as an entrepreneurial and innovative company allowed us to quickly respond to drive incremental revenue, while simultaneously driving down our operating expenses through strong execution across our business. One example of this is the way we leveraged our showroom techniques to capitalize on market opportunities well outside the reach of our current store base, which enabled us to access more consumers and generate incremental full price sales, while building brand awareness and demand. These temporary showrooms were up and running for approximately six weeks through mid January, as you will see on our other revenue line, the reaction was exceptional and it allowed us to sell through incremental inventory at full price. We were very proud of our great execution and overall success of this initiative. We also made excellent progress on our inventory control and flow. Our strategy over the holiday period was to focus on guest loyalty events and at the local level and wait until post-holiday to markdown inventory. We did move aggressively on post-holiday ensuring we maximize this window to produce a clean inventory position. Due to our strong year-end post-holiday events, we were able to deliver new and fresh inventory in mid January in a market, where there is an abundance of markdowns and excess inventory. Our strategy of buying in strategic modules also gave us flexibility during the holidays, which allowed us to move inventory to market that needed it or hold it for the spring launch post-holiday. The module concept allows us to move inventory in quarterly windows to freshen up our store assortment or hold until later in the year. We also had a successful second year in outerwear, but did feel we left opportunity on the table in accessories, sizing in men, and a brighter color pallet in the fourth quarter. As reported in our prior earnings calls, we have been extremely focused on efficiency and to successfully reduce our operating costs as we improve our operations. At the store level, we were able to reduce labor hours while maintaining the same level of service to our guests. We conducted full labor and schedule in practice audits prior to holidays and ensured we have the optimal staff levels at each store and focused on peak selling period. We have further improved retention at the store level of both the manager and staff, which helps us to drive significant results and efficiencies inline with our strategic objective of our lean infrastructure, we have also completed a restructuring of our field organization which streamlined our regional management structure. We successfully reduced discretionary spending on things such as travel and supplies. In addition, we are benefiting from efficiencies brought about by our IT implementation including merchandising, warehouse management and POS systems, as well as from our logistics and sourcing initiatives, and we are seeing the results of strengthening our senior management team in increased efficiency and effectiveness. Turning to real estate, we made some strategic decisions related to both existing and new leases, which led to the $4.4 million impairment charge in the quarter. John will discuss this in more detail. Real estate selection remains a critical focus in a challenging environment. We are paying close attention to turnover and closures on high street, lifestyle centers and malls. We have made the tough call not to proceed with size that do not meet or negotiate co-tendency or occupancy lease language. We have also assessed our portfolio of stores, resulting in a closure or impairment of stores that we do not feel meet our current real estate strategy. We have already spoken about our plans, the slow square footage growth in 2009 and we have six stores planned for the year. We want to remain very flexible in order to position ourselves to capitalize on attractive lease opportunities, as landlords look to refill vacant spaces. We are meeting with all of our top landlords to review growth renewals and options with the goal of optimizing our portfolio. We have a very healthy portfolio in the Canadian market, 11 stores or about a third of our portfolio are coming up for renewal, which gives us another tremendous opportunity to renegotiate our base portfolio. We will also increase our flexible store showroom presence to seed markets and leverage learnings from our e-commerce sales to site new stores and are expanding our specialty wholesale penetration in key markets, including Canada. Even with the short-term deceleration in sales due to market conditions, our new stores continue to perform above industry norms on a sales per square foot basis. Our new store business model also has the flexibility to adjust in the new economic environment, and our recent efforts have reduced store investment. This initiative coupled with lower occupancy rates and supply chain efficiencies gives us strong opportunities for profitable growth in the future. Our long-term strategy has not changed. We plan to keep a balanced portfolio of regional malls, lifestyle centers and individual street locations. We have met all of the top cites in North America and know exactly where we want to be. We still see the potential for over 300 stores in North America. We are excited to announce that we are ahead of schedule in our e-commerce strategy and now plan to launch the site in early April. We believe that our e-commerce initiative will be a great tool through which we will leverage our brand equity. In addition to helping to drive store traffic, it will enable consumers that don’t have the access to our stores to purchase Lululemon product. We expect minimal impact earnings in 2009, but based on our limited number of stores, we certainly expected business to become a meaningful for us over the next few years. Comparable business models demonstrated an opportunity to at least 10% of total revenues over time. While we expect the environment to remain difficult, I believe that our ability to respond creatively and rapidly to changes in the market, as well as our unique and innovative product and community culture will give us the resiliency we need to manage through this challenging period and position us for strong long-term growth. Our key focuses are to quickly respond to changes in the macroenvironment, improve our operating efficiencies and to continue to build our cash reserve as we generate strong cash flow. We remain very enthusiastic about our future prospects and are looking forward to resuming our expansion. Now, John can give you some details about the fourth quarter and full year results and our outlook for the year.
John E. Currie: Thanks, Christine. I’ll begin by reviewing the details of our fourth quarter and fiscal year 2008 results, and I’ll then provide a brief update on our 2009 outlook. Please note that in my comments comparison to last year, the numbers reflect the reclassification of our Japan results into discontinued operations. As you recall, we closed down our Japanese operations in Q2 of this year. So, for the fourth quarter of fiscal 2008, total net revenue was $103.9 million, compared to revenue of $104 million in the fourth quarter of 2007. We opened six stores in North America during the fourth quarter, and we closed one store the shops at Highland in Texas. We also opened one store in our Australian joint venture in December. Increases in revenue from new stores were offset with a comparable store sales decline of 8% on a constant dollar basis. And a weaker Canadian dollar, which reduced reported revenue by 18.9%, or $15.1 million. At the end of Q4, there were 66 stores in our comp base, 37 of those in Canada, and 29 in the United States. Our corporate-owned stores represented 87% of total sales, or $90.3 million, versus 88% of total sales last year, or $91.7 million. Franchise and other revenues, which include wholesale, phone sales, showrooms, outlets, and warehouse sales totaled $13.6 million, or the remaining 13% of total revenue for the fourth quarter. We ended the year with a 113 total stores versus 81 a year ago. Of 103, which are corporate-owned, and 10, which are franchises including the five operating in Australia. Gross profit for the fourth quarter totaled $51.7 million, or 49.7% of sales, as compared to $56.6 million, or 54.4% of revenue for the same period last year. Of this 470 basis point decline, approximately 280 basis points was attributable as a deterioration of the Canadian dollar versus Q4 of 2007, which negatively impacted gross margin as the majority of our product is purchased in U.S. dollars. In addition, we experienced de-leverage of 390 basis points on occupancy and depreciation resulting from lower productivity on new stores and lower comparable same-store sales. This was offset by 200 basis points of leverage gained on corporate head office costs included in cost of sales resulting from improved operating efficiencies at our distribution center, reduced compensation costs, and favorable exchange rate translation from the weaker Canadian dollar. SG&A expenses were $31.2 million or 30% of total revenues, compared to $34.3 million or 33% of total revenues in the fourth quarter of last year. Naturally, our overall store expenses increased from the fourth quarter of 2007 due to new stores opened during the year. And our G&A increased year-over-year due to depreciation of our new IT systems, and build-up as a management team earlier in the year. Nonetheless, we were able to achieve the 300 basis points reduction in SG&A as a percentage of revenue, largely due to efficiency in labor management both in stores and at our store support center together with reduced discretionary expenses as we were reacted early and effectively in reducing spending in response to changes in the economic environment. Improved distribution and logistics efficiency, lower incentive-based compensation given the overall financial performance of the company, and finally the weaker Canadian dollar also reduced reported SG&A costs, reducing SG&A by approximately $4 million. And during the quarter, we undertook a thorough review of our existing portfolio of corporate-owned stores, store locations to identify stores to be closed, signed leases for stores we will not open and stores’ expected performance would not support carrying values of store improvement assets. As a result of this review, we recorded a charge of $4.4 million, or $0.04 per share after-tax to reflect impairment of store assets and lease exit costs. These factors translated to operating income for the fourth quarter of $16 million, or 15.4% of sales. Excluding the impairment charge, operating income would have been $20.4 million, or 19.7% of sales, compared to $22.3 million, or 21.4% of sales a year ago. Tax expense was $5.3 million for the quarter, or a rate of 32.7% versus 32.9% last year. For the fiscal year, our tax rate was 29.4%. Net income from continuing operations was $10.9 million, or $0.16 per diluted share. Excluding the impairment provision, net income would have been higher by $3 million to 13.9 million or $0.20 per diluted share. This compares to net income of $14.6 million, or $0.21 per diluted share for the fourth quarter of 2007. Our weighted average diluted shares outstanding for the quarter were $68.5 million versus $70.6 million for the same period last year. Turning to the key balance sheet highlights. We continue to operate with the healthy cash and working capital position and no debt. We ended the fourth quarter with cash and cash equivalents of $56.8 million. Inventory increased by $14.1 million to $52.1 million at the end of the fourth quarter, primarily due to $11 million of the inventory and trends at a year-end, which compared to last year when it was very minimal. So, this increase is modest considering the net increase of 34 stores over the prior year. And we’re very pleased with the level and the makeup of our inventory at the end of the fourth quarter. Capital expenditures were $10.5 million in the fourth quarter, resulting from newly added stores in addition to IT capital expenditures. So turning to the highlights of our full fiscal year performance. For fiscal year 2008, total net revenue increased by 30.9% to $353.5 million from $269.9 million in fiscal 2007. This increase was driven by a combination of adding 34 net new stores to our store base in a constant dollar comparable store sales increase of 3% offset by a weaker Canadian dollar, which reduced reported revenue by approximately $9 million. Operating income for the year was $56.6 million in excluding our asset impairment charge, operating income would have been $61 million or 17.2% of revenue, versus $51.6 million or 19.1% of sales in 2007. We finished the year with the diluted earnings per share of $0.55. Diluted EPS would be $0.59, when normalized for the asset impairment charge. Now I want to turn to our outlook for fiscal 2009. As you know, the global economy has created an unprecedented and challenging operating environment. Until there is additional clarity on consumer spending hopefully in the second half of the year, we are limiting our earnings guidance to the first quarter of 2009. So for this first quarter of 2009, we expect same-store sales will run in the negative low double-digits on a constant dollar basis. We are currently committed to open six stores in the year, however none in the first quarter. We anticipated reported revenue in Q1 to be in the range of $70 to $75 million. We expect gross margin as a percentage of sales to be approximately 775 basis points lower than Q1 of 2008. Roughly 300 basis points of this decrease is attributable to the deterioration in the Canadian dollar versus Q1 of last year, again as the majority of our product is purchased in US dollars. The remainder of the reduction in margin is due to occupancy and depreciation de-leverage from lower productivity on new stores and lower comparable same-store sales. For the first quarter of 2009, we expect SG&A as a percentage of sales to decrease by 330 basis points versus Q1 of 2008 largely due to favorable foreign currency translation on our Canadian dollar SG&A costs in a more efficient cost structure. Overall, we expect earnings per share in the range of $0.07 to $0.08 for the quarter. This assumes a tax rate of 34% and $70.1 million diluted weighted average shares outstanding. Based on our current expectation in six new stores, we expect capital expenditures of between $12 and $13 million for the full year, including renovation capital for existing stores IT and other head office capital. With that, I will turn it back to Christine.
Christine Day: Okay. Thank you, John. In these difficult economic times, we are planning the business with an emphasis on improved cost efficiencies, inventory management, prudent allocation of capital and maximizing cash flow to provide us with a strongest possible financial position to take advantage of growth opportunities as they arise. So, operator we will now take questions.
Operator: Thank you. (Operator Instructions). We’ll take our first question from Paul Lejuez from Credit Suisse.
Paul Lejuez – Credit Suisse: Hey, thanks guys. A couple of questions, one, Christine, did I hear you say that you’re going to be expanding the wholesale business, if so if you can maybe provide a little bit of detail with where you’re going from a wholesale perspective. And John, maybe if you can walk through what’s included in that charge in the fourth quarter. What stores and sites factored into that? And also curious to know what your inventory plans are throughout 2009? Thanks.
Christine Day: Okay. On wholesale there is no change in overall strategy. In terms we are not going to any big boxes, but we have not done wholesale in Canada, and we recognize that part of our strategy to work more closely with the ambassadors and the local yoga and specialty gyms has been compromised by that decision that was made several years ago. So, we have made the decision to open up wholesale in Canada more for the strategic fit, but that also gives us good revenue opportunities in the marketplace as well.
Paul Lejuez – Credit Suisse: When does that kickoff?
Christine Day: We expect to begin in June.
Paul Lejuez – Credit Suisse: Got it.
John E. Currie: So, Paul and answer to your question on impairment, again it was a total of $4.4 million as I mentioned there is one store closed, and that’s included. The other stores are not in a position to give exact detail both because of confidentiality and in some cases we’re still negotiating. But they involve three, three leases signed on the stores that we do not plan to open and another three stores, where we’re either impairing the assets or potentially closing the stores, but at this point I can’t give any more specifics.
Christine Day:
Paul Lejuez – Credit Suisse: If you exclude that e-commerce business or should we be expecting inventories to be down or at least you’re managing store inventories to be down all year?
Christine Day: Store inventories should be down all year both at the store level and at the warehouse through the efficiencies and the improvements that we’ve made.
Paul Lejuez – Credit Suisse: Great, thanks. Good luck.
John E. Currie: Thanks.
Operator: We’ll take our next question from Michelle Tan with Goldman Sachs.
Michelle Tan – Goldman Sachs: Great, thanks. Sorry, if I missed this on the prepared remarks, but did you talk about whether there was a currency impact on the inventory and why it would have look like on a constant currency basis?
John E. Currie: I did not comment. Just trying to think I believe it converts back to U.S. dollars regardless, and the balance sheet is in U.S. dollars, even the inventory carried in Canada.
Michelle Tan – Goldman Sachs: Okay. And then I guess, just to clarify from Paul’s question. Is there a portion of the inventory at the end of the quarter that’s allocated to the launch direct? What would the inventory have looked like this quarter without the direct fees?
Christine Day: We did not buy specifically for e-commerce and we made that decision recognizing, we were slowing down the store growth and the buy had already have been done for stores that would have opened in the year. So we were able to reallocate the inventory from new stores that we had planned during the original buy to e-commerce.
Michelle Tan – Goldman Sachs:
John E. Currie: In terms of new store productivity, even in the fourth quarter, even with the tough environment the stores that entered into the comp base in Q4 were on average above the minimum model we use of $750 of a square foot.
Michelle Tan – Goldman Sachs: Okay.
John E. Currie: And in many cases not up to our expectations, because again the 750 is our minimum. But we do continue to open new stores above that minimum. What was the next part of the question?
Michelle Tan – Goldman Sachs: Just cost reductions…
Christine Day: Yeah, so…
Michelle Tan – Goldman Sachs: And operating model…
Christine Day: Yeah, so we had been looking at around $250 of square foot and we now have the model down to 200. And I think more significantly our ability to control the investment to tighter window and take advantage of the TI dollars has significantly increased. And as well as we’re seeing significant drops in rent; I think what we also look at though is what’s happening in the overall mall and street environments. And we are aware of a high degree of vacancies and fallout, and we want to make sure which we plan new capital that were really in the optimal places for us both the long-term and short-term. And so we’re just waiting to see what kind of fallout is there is in the market in the next three to six months, as vacancies increase and [re-tendencies] start to happen.
Michelle Tan – Goldman Sachs: Okay, perfect. And then John I know you said you couldn’t comment on this. But any color you can say on the potential future closings whether they’re all in the U.S. or not?
John E. Currie: I wouldn’t refer them as closings again as I said three of them were leases signed that we're just not going to open. Two of them are stores that are undoubtedly going to stay open but we’ve just taken a write-down on the improvements. And then there is one potential closure or it may end up being in negotiation of the rent and I can’t comment on that.
Michelle Tan – Goldman Sachs: Okay. That’s helpful. Thank you.
Operator: We’ll take our next question from Lorraine Maikis-Hutchison with Merrill Lynch.
Lorraine Maikis-Hutchison – Merrill Lynch: Thank you. Good afternoon. Just wanted to touch on the merchandise margin for a minute, and get your thoughts on were you happy with your strategy to move more clearance product into the store instead of having the large warehouse sales in 2008?
Christine Day: And I think, I was happy that we cleared in July and I was also happy that we waited until post-Christmas to do any real significant clearance activity at the store level. I think in retrospect, we probably could have held off a little bit and maybe went little aggressive but not knowing what the next few months would bring and wanting to have a clean balance sheet, I think we made the best decision at the time. So, overall in terms of net discounts for the year I feel pretty confident and comfortable with the number that we ended up in compared to most people in our similar category. So I feel that we were pretty effective in managing on the merchandise markdowns and what that allowed us to do most importantly it was coming into this year. We had a very clean and fresh palette and a lot of brand new product in the stores and we’ve been able to maintain full pricing without discounting our spring line, which I think is also been very helpful outcome of the strategy that we deployed.
Lorraine Maikis-Hutchison – Merrill Lynch: And I know there will be a lot of movement with the Canadian dollar on your gross margin line, but can you comment on any expectations for product cost reductions particularly in the second half?
John E. Currie: Yeah. We are at this point, we bought to some extent for the second half but not for winter and we are already seeing some cost reductions, as you’re probably hearing industrywide lot of excess capacity in China in particular and the strong brands that still have high volumes such as ourselves are benefiting from that. Can’t comment on quantum yet, but we are seeing a reversal of some the inflationary pressure that we saw last year.
Lorraine Maikis-Hutchison – Merrill Lynch: Thank you.
Operator: We’ll go next to Liz Dunn from Thomas Weisel.
Liz Dunn – Thomas Weisel Partners: Hi, good afternoon.
Christine Day: Hi, Liz.
Liz Dunn – Thomas Weisel Partners: I apologize for the feedback, I am calling from a hotel and connection is not great. I guess first just a follow-up on Michelle’s question, which is I understand not all of these stores are closing but are there all in the U.S.?
John E. Currie: Yes.
Liz Dunn – Thomas Weisel Partners: Okay. Secondly is there any opportunity to sort of align your product costs more with your revenue base. I mean is this Canadian dollar thing just going to continue to be a drag for the foreseeable future. And what is your assumption about currency embedded in your first quarter guidance?
John E. Currie: Yeah. I should have clarified that. We’re assuming in our guidance that the Canadian dollar runs at approximately $0.80. I think it’s little over 81 right now, but that’s the assumption in that guidance.
Liz Dunn – Thomas Weisel Partners: Okay.
John E. Currie: We did give some consideration to shifting, manufacturing to Canada to match costs with revenue, it becomes more complicated and then it sounds, because unless you are moving the mills close to where the factories are; you are not really accomplishing much. So we don’t have any plans to expand Canadian manufacturing right now, other than for short-term reasons as opposed to margin reasons.
Liz Dunn – Thomas Weisel Partners: Okay. And then last question. Can you just give us an update on your outlet stores; we’ve noticed recently that there is a Woodbury Common store?
Christine Day: That’s still under negotiation; we haven’t finalized that lease with the landlord. So at this point in time we remain tied to the existing two, the goal is that Sawgrass is a temporary one for us and we would be closing that when one down if we went to the Woodbury location.
Liz Dunn – Thomas Weisel Partners: Okay. Great. Good luck.
Christine Day: Thank you.
Operator: We’ll go next to Robert Samuels from Oppenheimer. Mr. Samuels, you might check your mute button. Your line is open.
Robert Samuels – Oppenheimer & Co.: I’m sorry but can you hear now?
John E. Currie: Yeah.
Robert Samuels – Oppenheimer & Co.: Great. Yeah, just with regard to the comp, can you breakout transaction value versus number of transactions during the quarter?
Christine Day: So in the comp, we saw a very little change in sales mix and or in average ticket, and it’s primarily with all transactions.
Robert Samuels – Oppenheimer & Co.: Got it. And then any comment on February, March trends?
John E. Currie: It's really reflected in my guidance.
Robert Samuels – Oppenheimer & Co.: Okay. I mean, you haven’t seen any pickup from what we saw in the fourth quarter?
John E. Currie: Sorry.
Robert Samuels – Oppenheimer & Co.: So, and then I guess, are you able to determine what sort of repeat customer you're seeing, I mean do you know how often particular women will shop in your stores?
Christine Day: We do know a market that we've been open longer for instance Boston, Chicago, San Francisco we do have a very loyal customer base, but in many of the other markets particularly like New York City where we recently opened so many new stores its a lot of brand new customers. So, a little harder to get through the overall trends I mean I’d just leave it as saying at this point that we're pleased with where our business has performed, so far today and, if we would be happy if the sales trends continued and got better.
Robert Samuels – Oppenheimer & Co.: All right. Thanks.
Operator: We’ll go next to Howard Tubin with RBC Capital Markets.
Howard Tubin – RBC Capital Markets: Hi, thanks. Thanks, guys. John did you say what merchandise margin was in the fourth quarter relative to fourth quarter of last year?
John E. Currie: I didn't, and of course there is various pieces as I said currency certainly impacted it by almost 300 basis point, but real apples-to-apples product margin was actually pretty similar reflecting slightly more discounting but not extensively versus last year and also some efficiencies both in distribution and product costing.
Howard Tubin – RBC Capital Markets: Got it. Thanks. And then just a question on the e-commerce site, is it going to be, when it is launching, is it going to be up and running in U.S. and in Canada or will it be two separate sites one in Canadian dollars, one in U.S. dollars, how that is going to work?
Christine Day: It will be one site, but we will trade in both foreign currency, so both Canadian and U.S. And you can actually toggle back and forth between the two on the site. So it’s very flexible from that perspective. We will be doing the distribution for Canada, out of Canada, the Canadian customers will not have to pay duty and taxes then U.S. shipping will be out of U.S. So, very excited about the launch and the capability that will be demonstrating on our e-commerce site.
Howard Tubin – RBC Capital Markets: Great. Thanks a lot.
Christine Day: Thanks.
Operator: We’ll take our next question from Janet Kloppenburg with JJK Research.
Janet Kloppenburg – JJK Research: Hi, everybody.
Christine Day: Hi, Janet.
John E. Currie: Hi, Janet.
Janet Kloppenburg – JJK Research: Hi, nice job. Couple of questions, when you think about the fact that you moved your e-commerce launch up so by so many months. I was wondering if you had to keep up anything in terms of the site style, and friendliness maneuverability et cetera. Or do you think it will be running at the level that you expected it too for the later launch?
Christine Day: I think probably the only thing that we didn’t get in that I would have wanted in this initial launch with kind of the iChat feature, even though we’ll have live telephone assistance. So the people can pickup and talk to you one of our people at the GEC, if they have any product questions. So that’s probably the only thing that would have been at any significance and we will be adding capability over the course of the next year even on the existing site…
Janet Kloppenburg – JJK Research: Right.
Christine Day: But from our first launch in terms of flexibilities, filters for the guest experience. We're very pleased with where the final product has ended up.
Janet Kloppenburg – JJK Research: Great. Well, we can’t wait to see it. And I also wondered I am getting the lower costs in the marketplace, if you thought that you would be passing on lower retails, you may have answered that question, but I get on a little bit late. I haven’t noticed the decline in retail prices on some of the core basics, but I was wondering if we could look forward to anything like that?
Christine Day: What we’ve done is, we’ve added a lot more and it was strategically on our docket based on guest request more layering pieces in the T-shirts and tanks, and so you will see more price points in that 50 to $70 range for layering pieces. And we’ve already begun to deploy that and we don’t have quite enough stock yet that disappears very rapidly. We are not seeing a change in our sales mix or average ticket, people seem to be buying two of it. So or adding it as a compliment to other pieces, but it does give us more price points in the mid 50 range and well from 30 to 70. So we feel very good about that offering and that also brings guests in who maybe wouldn’t be buying a new pair of pants or jackets.
Janet Kloppenburg – JJK Research: Right.
Christine Day: So I’m offering something fresh.
Janet Kloppenburg – JJK Research: And are you opening outlet stores around the country?
Christine Day: No, we still only have the Mount Vernon store and we had opened the Sawgrass as the temporary location.
Janet Kloppenburg – JJK Research: Right.
Christine Day: With the hopes of being able to get into Woodbury at a later date…
Janet Kloppenburg – JJK Research: Yeah.
Christine Day: And those negotiations are ongoing, but we don’t have that secured at this time.
Janet Kloppenburg – JJK Research: Would you think about it I mean and to source forward, lot of people make nice margin on those, on that channel?
Christine Day: I think at this point I’d like to see really where we end up with e-commerce and…
Janet Kloppenburg – JJK Research: And how you can clear there?
Christine Day: And how we can clear there, what that looks like, because that’s obviously a very for us low capital intensive way of doing it…
Janet Kloppenburg – JJK Research: Right.
Christine Day: And we are still very early in our growth phase.
Janet Kloppenburg – JJK Research: Right.
Christine Day: And I don’t want to shift resources to manufacturing alignment that’s below the quality that I think our brand is standing for this early. So that’s the other important consideration and we have other growth initiatives that I would probably rank higher than that.
Janet Kloppenburg – JJK Research: Great. Thanks. I look forward to talking to you later. Thanks so much.
Christine Day: Thanks Janet.
Janet Kloppenburg – JJK Research: Bye-bye.
Operator: We’ll go next to Dana Telsey with Telsey Advisory Group.
Dana Telsey – Telsey Advisory Group: Good afternoon, everyone. Can you talk a little bit about the product extensions that you have done and the feedback there, and what you have been seeing any different regional trends to what you’re introducing, also on the e-commerce business will there be any exclusive product in that channel versus what’s in the stores, and how do you plan to build awareness for the e-commerce? Thank you.
Christine Day: Okay. I will start with maybe your last question, if you go into any of our stores right now, there is a little business cards that they are handing out and we’ve been doing a lot of viral marketing campaigns, where it invites guest to go to a website and pre-register. And we’ve been collecting on average about 500 names a day from that process, since we’ve started it several months ago in addition to the names that we had already been collecting through our product notification, E-mail, Twitter, Facebook that we’ve been doing for the last seven, eight months. So we feel very good about that pent-up demand that we’ve been generating for, the website and the viral marketing that we’ve done. So, there is some more secret surprises too stay tuned for. Then in exclusivity on the website, we are tying several of our marketing strategies to both our goaltender site and to events in stores. So for people who participate in those, they will get codes that will give an access to either products or free shipping or if you achieve a goal, we might send somebody like, if you ran the Boston Marathon, we will send you a pair of running shorts. So we have a lot of kind of cross-promotional pieces built in that would also have some exclusivity on the web that’s as part of our marketing strategy. In terms of regional trends, we’ve seen improvement in the Texas business which we have been pleased with and overall some of the financial scenarios like New York have probably been a little bit harder hit than the rest of the market, but we’ve continued to see strength in markets like in Northwest, Southern California for us, Chicago is still doing very well. So we do have what we consider quite bright spot on the marketplace. And I think in Canada, we feel comfortable that we are probably outperforming most of peer group in Canada.
Dana Telsey – Telsey Advisory Group: Thank you.
Operator: (Operator Instructions) We’ll go next to Laura Champine with Cowen.
Laura Champine – Cowen & Co.: Good afternoon. I have got a few small things. So, I’ll just hit them all upfront. First, is there any continued describes or what specifically drove the increase in intransit inventory. Is there a different way that you’re flowing product this year, if you could just give more color on that? And then second I know John you said that store level inventory should be down, but does that mean that reported inventories will be down year-on-year and when does that trend start to develop. And then lastly, we talked a lot about product cost, but in your Q1 guidance for gross margin and I know there is a currency impact to. Does that assume down merch margins year-over-year?
John E. Currie: Okay. Going back to your first question. Yeah, remember the year-end inventory balance is a snapshot point in time. We take title to inventory as soon as it leaves the factory shipping dock. And last year it just happened at the large shipments that were made in February just after year-end. This year they were as I said close to $11 million of product that was shipped to us just before year-end. But it’s really just a few days timing difference. So the better comparable is to exclude the intransit to compare to last year. In terms of your question on inventory levels sorry, can you give me that question again?
Laura Champine – Cowen & Co.: Sure. It was just, when do you expect reported inventories to be down year-on-year. I think that in response to another question you said that store level inventories will be down, I'm just wondering when the balance sheet – does that mean balance sheet inventory should be down year-on-year in the first quarter?
John E. Currie: Yeah. I would say at the end of the first quarter you’ll probably see inventory levels pretty similar to last year, pretty similar to where we’re at year-end. And I think with some improvement versus square footage at least as you get later in the year. Then your last question on margins and again my memory is short but I think you're asking about the product margin within there?
Laura Champine – Cowen & Co.: That's right. Just as your merch margin expected to be down year-on-year in the first quarter and if so what’s driving that?
John E. Currie: Again it's pretty consistent other than the impact of currency, which is above 300 basis points.
Laura Champine – Cowen & Co.: Got it. Thank you.
John E. Currie: Okay.
Operator: We’ll take our final question from Richard Jaffe with Stifel Nicolaus.
Richard Jaffe – Stifel Nicolaus: Hi, thanks very much. A question on the showrooms and the opportunity that the showrooms present, and then if you could just talk through the additional showrooms you had in the fourth quarter. And you’re thinking for ‘09 about having those numbers of showrooms through ‘09 or just for the fourth quarter of next year, or to have additional showrooms. And give us a sense of sort of the magnitude as well, how many there are and what kind of volume they could do?
Christine Day: Well, what we deployed over the holiday period was really a series of temporary stores and what we considered kind of hot markets particularly in Canada that we had not penetrated. And so that was primarily where the most of those were. And they operated for anywhere from the six to about 10 or 11 week period overall. And so, we tried that as a kind of concept to see what happened by deploying showrooms into mature markets. And that give us some confidence that we can operate whether temporary stores and resorts are summer communities et cetera. So we will be continuing to seed new markets that way. Right now year-over-year as we’ve entered some of the new markets that we had showrooms in, showrooms are down slightly in total count from last year. But we’re currently working on our showroom and what we’re calling kind of temporary store strategy for this coming year. But right now our primary focus is on e-commerce, so we did not include in our guidance or for the year any material upside for that. I think we will keep that as a kind of back of the pocket strategy, but right now our primary focus is still on launching e-commerce in the U.S. and we don’t want to be distracted in the short term from that.
Richard Jaffe – Stifel Nicolaus: Got it. And just to clarify showroom is a wholesale business or it’s also being used as a retail venue at full price?
Christine Day: It is a retail venue at full price.
Richard Jaffe – Stifel Nicolaus: And so the wholesale selling that you commented on in Canada is it hasn’t taken place, but will take place from an alternative location?
Christine Day: Yeah. So, where we sell wholesale too is yoga studios, specialty gyms, pilates studios. So we have not operated that business in Canada and we will be opening it up to our Canadian partners.
Richard Jaffe – Stifel Nicolaus: Right, but that won’t be out of your showroom, it will be traveling salesman or a mail order kind of business or…
Christine Day: No. So for instance a local specialty gym that we’re working within that has national presence out of Vancouver area would have our product in their showroom at the gym.
Richard Jaffe – Stifel Nicolaus: Right. But how would they select which product they want to put in their gym.
Christine Day: We have a catalog that they pre-order from and own the inventory from the time that they place the order.
Richard Jaffe – Stifel Nicolaus:
Christine Day: Yeah. It’s order from the quarterly catalog that we put out and so then the buy is created off of what the guests order.
Richard Jaffe – Stifel Nicolaus: But the product will be identical to stuff that will be in stores?
Christine Day: Absolutely…
Richard Jaffe – Stifel Nicolaus: Okay.
Christine Day: And it’s only but it’s a very limited selection. So if we had a spring collection of 50 new SKUs they would maybe have access to 12.
Richard Jaffe – Stifel Nicolaus: And then is there a sort of a basics component to that as well?
Christine Day: Correct. I mean the really the whole point of that for us is an introduction to new guests.
Richard Jaffe – Stifel Nicolaus: Right and obviously these gyms probably don’t have the capacity to have a full selection anyway that…
Christine Day: Absolutely not.
Richard Jaffe – Stifel Nicolaus: For the both parties yeah…
Christine Day: Yeah. Exactly.
Richard Jaffe – Stifel Nicolaus: Great. Okay, thanks very much.
Operator: We'll take a question from Quentin Mannard from Morehead Capital.
Quentin Mannard – Morehead Capital: Hi, there most of my questions have been answered, just a quick question on your e-commerce site. Can you give us a little bit of a feel for who you’re partnering with to do that, are they handling fulfillment and call center et cetera?
Christine Day: We are using an organization called one-stop out of California. And we will do, we do, I should say to you website they do all of this back of the house servicing, they will do the U.S. fulfillment; we will do the Canadian fulfillment out of our DC.
Quentin Mannard – Morehead Capital: Great. All right. Well, thanks so much, and good luck.
Christine Day: Thank you.
Operator: That concludes the question-and-answer session for today. At this time I would like to turn the call back over to Christine Day with any additional or closing remarks.
Christine Day: I would just like to thank all of you for joining our call today, and for your continued interest in our business that we feel very confident in. As a management team, our energy in the last quarter has really been to make sure that we’ve had a focus on preserving the business and preparing for the downturn and surviving. Going forward, we're now very confident in our position to be able to redeploy our resources towards the growth strategies, and that's what the management team is focused on. So, we just want to reiterate that we have tremendous confidence in our business. And we believe that the guest is seeing that value as well. So thank you for joining us today.
Operator: This concludes today's conference. We thank you for your participation. Have a great day.